Operator: Thank you for standing by. This is the conference operator. Welcome to WildBrain's Fiscal 2025 Fourth and Full Year Earnings Conference Call. [Operator Instructions]. The conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to Kathleen Persaud, VP of Investor Relations. Please go ahead.
Kathleen Persaud: Thank you, operator, and thank you, everyone, for joining us today for WildBrain's Fourth Quarter 2025 Earnings Call. Joining me today are Josh Scherba, our President and CEO; and Nick Gawne, our CFO. Before we begin, please note that matters discussed on this call include forward-looking statements under applicable securities laws, which reflects WildBrain's current expectations of future events. Such statements are based on a number of factors and assumptions that management believes are reasonable at the time they were made and information currently available. However, many of these factors and assumptions are subject to risks and uncertainties beyond WildBrain's control, which could cause actual results and events to differ materially from those that are disclosed or implied by such forward-looking statements. Such risks and uncertainties include, but are not limited to, changes in general economic, business and political conditions. WildBrain undertakes no obligation to update such forward-looking information, whether as a result of new information, future events or otherwise, except as expressly required by applicable law. Please note that all currency numbers are in Canadian dollars unless otherwise stated. After our remarks, we will open the call for questions. I will now turn the call over to our President and CEO, Josh Scherba.
Josh Scherba: Thanks for joining us today. I'm excited to walk you through our performance in fiscal 2025 and share why we continue to grow increasingly confident about the opportunities ahead. We delivered strong results this year, sharpening our operating focus and reinforcing the foundation for growth in fiscal 2026 and beyond. Starting with Licensing, 2025 was a year of significant global growth. We delivered growth of 33% in the year across our portfolio, but Strawberry Shortcake was the clear breakout story, growing revenue nearly 200% year-over-year. Strawberry is now a meaningful contributor to our Licensing segment. As we highlighted last quarter, Strawberry historically generated over USD 800 million in retail sales, and we have surpassed USD 200 million this year, underscoring its significant upside as the franchise continues to scale. That momentum is showing up directly in our P&L. Strawberry grew from under $5 million last year to $14 million this year in high EBITDA licensing revenue. We're seeing growing interest from licensees and retailers across broad categories, validating our investment in revitalizing the brand and giving us confidence in Strawberry's long runway for profitable growth. Much of this momentum has been driven by innovation in our social and digital strategy, which requires a lower upfront investment but has proven highly effective in driving engagement and consumer demand. Our franchise management team, which oversees Walgreens owned brands, has been central to this effort, developing and executing digital-first strategies that have meaningfully grown engagement and translated into stronger financial performance across our portfolio. Engagement on Strawberry Shortcake and Teletubbies is up 66% and 56%, respectively, year-over-year across social media platforms, a strong sign of the growing connection between our brands and fans. And importantly, this increase in engagement is translating into consumer product success and giving licensees greater confidence to invest behind our brands, both of which fueled the continued revenue growth we're seeing in our numbers. Engagement isn't just a vanity metric for us. It is a leading indicator of franchise health, powering the 360-degree wheel that drives demand for content, consumer products and partnerships. We've had a number of recent brand activations for Strawberry Shortcake. Our Berry Besties campaign is producing meaningful new collaborations from a Roblox cake decorating experience to music streaming partnerships to co-branded fashion and accessories with Crocs and others. We also have new fragrance and cosmetic lines in development with global distribution in sight. Meanwhile, the upcoming Perfect Pets theme for fall 2026 builds off the Berry Besties campaign and gives us a fresh runway to continue building on that momentum with pets for Strawberry and her friends. Teletubbies is another solid driver of growth in our licensing business, growing more than 60% in the year. While a smaller contributor than Strawberry at the moment, we continue to see ample opportunity to grow and build this brand globally. We are ramping up to the brand's 30th anniversary in 2027, with a global activation program designed to celebrate and amplify the strong fan affinity for these iconic quirky characters. New licensing partners like Pop Mart are helping us expand accessories, fashion, digital-first and nostalgic product offering, all with strong localization in key markets. Early feedback on the Pop Mart products has been very positive, and our franchise and marketing teams are executing well globally, leveraging our full platform to ensure Teletubbies continues to resonate with fans worldwide. This gives us confidence in both the near-term growth and the long-term brand opportunity for Teletubbies. Turning to Peanuts. Fiscal 2025 was a banner year for the brand. We saw widespread demand across categories and geographies, establishing what we believe is a new baseline for Peanuts going forward. When we acquired the brand, Peanuts was already iconic. But since then, we've grown it into a global powerhouse. Over the past 8 years since acquisition, we have reignited growth at Peanuts, delivering consistent compounding growth across consumer products, publishing, live experiences and content, expanding its reach to audiences worldwide. This year, in particular, we saw strong momentum across every major market with outperformance in Asia, especially China, where the brand continues to grow and build relevance. This momentum gives us confidence that China and Asia will remain a long-term growth engine for Peanuts. Closing out Global: Licensing, our agency, WildBrain CPLG, experienced very strong growth in the year. CPLG is a unique and highly differentiated business within the licensing industry. Unlike most agencies, it combines the scale and sophistication of a global licensing operation with the flexibility and local expertise of regional teams. That structure gives us the ability to manage a broad portfolio of IP across categories and geographies while also tailoring execution for local markets and retail environments. This unique approach has driven stronger execution for partners and reinforce CPLG's position as a trusted partner of choice across the global licensing landscape. Our top brands in CPLG continue to reflect both the stability of long-term partnerships and the momentum of new wins. We've seen enduring success with major partners like Paramount, Amazon MGM and Dr. Seuss as well as exciting new relationships such as Supercell and Peter Rabbit, further expanding our portfolio. These additions highlight the strength of CPLG's value proposition as a trusted partner for IP owners seeking to maximize their brands globally. WildBrain CPLG is also a powerful complement to our own brands. Having the agency under the same roof enables us to apply its expertise and retail reach to franchises like Peanuts, Strawberry Shortcake and Teletubbies, accelerating their global impact. That combination, global agency strength and owned IP is what makes WildBrain CPLG a unique growth engine in our portfolio. Turning to Content Creation and Audience Engagement. This was a year during which we sharpened our production capabilities and scaled our digital distribution and ad sales business. On the content side, we returned to growth even as industry headwinds remained. Our studio is one of the leading independent kids and family studios globally. Our team produces high-quality animation and live-action programming from preproduction through to the end product with top partners like Netflix, Apple TV+ and LEGO. Another one of our beloved brands, Degrassi, returned to the spotlight recently with the global premiere of our new documentary produced with Peacock Alley Entertainment, Degrassi: Whatever It Takes. The documentary, which generated over 1,800 media hits and features interviews with Drake alongside numerous other Degrassi alumni, underscores the enduring cultural relevance of Degrassi and highlights the opportunity to reboot the iconic franchise for a new generation of fans. In Audience Engagement, our AVOD and FAST channels continue to grow steadily, up 55% in the fourth quarter to 5.7 billion minutes compared to the prior year, extending the global reach of our IP and giving us more direct access to audiences. These platforms build awareness and affinity for our brand, create incremental monetization opportunities and extend the life cycle of our content. Old franchises like Degrassi and Strawberry Shortcake as well as partner brands such as Pok mon remain consistently in front of fans worldwide, keeping them top of mind and fueling demand that carries through to licensing. Our channels are distributed across major platforms, including Samsung, Roku and Amazon, ensuring our content reaches audiences wherever they are watching. As the FAST ecosystem matures, WildBrain is well positioned to be a scale and trusted partner for platforms seeking high-quality kids and family content. Finally, I want to touch on Media Solutions, our in-house advertising and brand partnership arm. We're increasingly confident in the growth potential for this business. As a reminder, this business is responsible for creating, selling and executing integrated campaigns across our AVOD, FAST and YouTube networks, helping brands connect with millions of kids and families worldwide in a safe and engaging environment. It's a differentiated capability within WildBrain. Very few kids media companies combine global brand management and channel reach with in-house media sales and activation at this scale. This addresses a long-standing gap in the marketplace for brands seeking to reach kids safely in the digital ecosystem. Over the past year, we've taken steps to align and strengthen the Media Solutions leadership team, and we now have the right people in place to scale this business. We've broadened our advertiser base, deepened relationships with global brands and secured a healthy pipeline of opportunities across key verticals. The early results are encouraging with the pipeline showing strong momentum. With the combination of premium content, growing AVOD, FAST distribution and Media Solutions' ability to monetize through tailored and brand activations, we believe this business is increasingly well positioned to be a meaningful contributor to WildBrain's growth in fiscal 2026 and beyond. The rising engagement across our digital platforms, growing pipeline of Media Solutions and the significant growth in licensing all underscore we are building a meaningful platform at the center of kids digital media. Our scale across YouTube, FAST and AVOD not only keeps our brands front and center with global audiences, but also demonstrates the strength of our model in driving awareness, engagement and monetization. In Television, as we announced last month, we've made the strategic decision to exit our Canadian broadcast business following the removal of our channels from Rogers and Bell. While this was not our preferred outcome, it simplifies our business and enables us to focus on higher growth, more scalable areas. Once we are no longer subject to Canadian control restrictions under the Broadcasting Act, we will move to a single class share structure, providing greater strategic flexibility for the future. Before I wrap up, I wanted to briefly touch on the asset sales we've previously discussed. We've approached this process with three objectives in mind: first, to simplify and focus the business; second, to improve the balance sheet; and third, to drive shareholder value. Our exit from the Television business marks a pivotal step toward our simplification goal. Combined with our clear focus on key brands and profitability drivers, these actions have opened the door to actively considering strategic options that would unlock additional value for WildBrain and its stakeholders. We are actively in dialogue with a handful of parties to this end and expect to have more to report in the near term, all the while remaining committed to building a more focused, resilient and growth-oriented company. We made huge steps forward over the past 18 months. We successfully refinanced our debt, refreshed our senior leadership team and sharpened our focus on key brands meaningfully growing our owned IP. I'm incredibly proud of what our teams have accomplished in this period. The resilience and creativity will make this company stronger. Of course, the industry continues to evolve from tariffs to the rise of AI and ongoing consolidation. But we view these as opportunities as much as challenges. With our unique 360-degree capabilities, we use YouTube, AVOD and FAST, deepen audience engagement and then leverage our franchise management and CPLG teams to translate that engagement into sizable consumer products programs. What sets us apart is the combination of global strategy with strong local execution, the winning formula that enables us to build lasting franchises. We're already seeing this play out with Strawberry Shortcake, where digital-first engagement has fueled retail growth, and I'm confident in our ability to build on this momentum and deliver sustained growth and value for years to come. With that, I'll turn it over to Nick to review our results.
Nick Gawne: Thanks, Josh. A short preamble on the presentation of our financials before I start on the financials themselves. In accordance with IFRS accounting rules, in Q2 and Q3 of this year, we have classified Canadian Television Broadcasting as held for sale and presented the historical results of this business unit as discontinued operations. With the termination of the Television sale agreement, the segment no longer met the threshold that held for sale. We have reinstated it into held for use. When Television ceases operations in Q2 '26, it will return to discontinued operations. All the results I'll be referencing include Television, unless I specifically refer to them as being excluding Television. Fiscal year 2025 revenue was $523 million, up 13% year-over-year. Revenue excluding Television, was $487 million, up 14% year-over-year. Revenue in the fourth quarter was $139 million, up 7% year-over-year, and revenue excluding Television, was $129 million, up 6% year-over-year. Global licensing revenue in the year was $284 million, up 33%. Global licensing revenue in the quarter was $69 million, up 29%. The growth in licensing reflects management's deliberate focus on high-growth, higher-margin brands. By leveraging our expertise to drive engagement through social and digital strategies, we've expanded consumer reach, attracted new licensees and translated that momentum directly into revenue and profitability. Revenue for Content Creation and Audience Engagement in the year was $203 million, down 5%. Revenue for the segment in the quarter was $60 million, down 12% year-over-year. The revenue decrease in the period was driven by a reduction in distribution revenue in the quarter, offset by stronger production revenue as compared to the prior year. Television revenue for the year was $36 million. Revenue from Television was $10 million in the quarter. As a reminder, as we did last quarter, for comparability purposes, supplemental information for results, including and excluding Television can be found in the earnings release. Gross margin percentage for fiscal year '25 was 46% compared to 48% in the prior year, driven by a mix shift between production and distribution revenues. Gross margin percentage in the quarter was lower with higher marketing costs and franchise management. SG&A in the year was $112 million, an increase of 9%. Absent a Q1 '24 benefit of $2.8 million arising from the reversal of a bad debt expense and the impact of translating foreign currency-denominated expenses at less favorable rates than in prior year, SG&A expenses increased slightly due to increased investment in our growth businesses. SG&A was $30 million in the quarter, up 9%. Adjusted EBITDA was $92 million, up 5%. Adjusted EBITDA, excluding television, was $69 million, up 3%. Adjusted EBITDA in the fourth quarter was $25 million, up 3%. Adjusted EBITDA, excluding Television, was $19 million, down 1%. As we've noted previously, the timing of distribution deals can be difficult to predict. In Q4, certain deals we anticipated shifted to the subsequent quarter, which created a timing headwind that has now been resolved. This timing headwind put us below our expected 5% to 10% continuing adjusted EBITDA guidance range. Net loss in the year was $90 million compared to a net loss of $106 million in the prior year period. Net income in the quarter was $10 million compared to a net loss of $81 million in the prior year period. As we noted last quarter, the quality of earnings we were driving would lead us to see free cash flow for the year as strongly positive despite some weak -- despite some expected working capital outflows. Fiscal 2025 free cash flow was positive $50 million compared to negative $30 million in '24. Free cash flow in the quarter was negative $17 million compared to negative $7 million in the fourth quarter of '24. Free cash flow is subject to variability arising from working capital timings and our interim production financing payables. Our leverage at the end of the quarter was 4.76x, comfortably in compliance with our financial covenants. Turning to guidance and our outlook for fiscal year '26. We expect strong growth in the core underlying businesses. In the core business, which excludes Television, we expect revenue growth of approximately 15% to 20% and adjusted EBITDA growth of approximately 15% to 20%. Let me give you some more detail on our growth drivers. Within Global Licensing, we expect growth across the full portfolio of our own brands as well as growth within WildBrain CPLG. Fiscal '25 was a banner year for Peanuts, contributing to the 33% growth we saw in licensing, but this level of growth will be difficult to repeat. We expect continued growth across all three areas in '26. With Peanuts, we are building on our social media strategy, expanding category presence and deepening penetration in key markets. With WildBrain Brands, we expect growth in new territories, while CPLG is expected to deliver growth both through representation of our owned brands as well as third-party brands, with WildBrain Brands and CPLG themselves contributing at higher EBITDA margin levels. Fully capturing the growth opportunity we're seeing across our Global Licensing segment requires upfront investment, both in franchise marketing and in SG&A, which acts as a headwind in fiscal '26. However, for Peanut, Strawberry Shortcake and Teletubbies, the data points, demand and pace of growth we've seen over the past 12 months, in addition to third-party research we've undertaken, tell us that the upside opportunity is significantly larger. The headwind today with SG&A as expected 10% creates a tailwind for the future. In Audience Engagement, we expect Media Solutions, our direct advertising business to meaningfully grow. As Josh mentioned, we've built out a high-quality team who are in market executing on a pipeline that could see revenues double year-on-year. In FAST, we expect new third-party revenue opportunities as brands like Pok mon look to leverage our established presence in the market. Monetization still lags the engagement we're seeing, but we're fully confident that this discrepancy will resolve into a significant opportunity in the future. Traditional distribution remains constrained across the broader industry and timing on this part of the business is always variable due to the point-in-time revenue recognition. In fiscal '26, we have the benefit of some deals that slipped from fiscal '25, but the underlying market remains soft and poses a headwind to growth in '26. This headwind is contemplated in the guidance we've given. In Content Creation, we expect continued growth driven by the Peanuts feature and episodic content for high-quality partners like LEGO. Television has historically been a headwind as the linear TV business has been in steady decline. We have made the strategic decision last year to exit this business. And although shutting down the channels was not our preferred path, we had always intended to simplify our business with focus on higher growth areas. Television will cease operations in Q2 '26. Including the Television business, we expect revenue of approximately $560 million to $590 million and adjusted EBITDA of approximately $80 million to $85 million. Moving on to our expectations for free cash flow. This is subject to material timing variances. Fiscal '25 did have some timing benefits, which we do not expect to repeat in the coming fiscal year. Additionally, with Television ceasing operations, we expect free cash flow to be down year-over-year. Throughout fiscal '25, we've delivered quality EBITDA growth versus prior year and materially better cash creation. We still have much work to do, but have built a strong foundation for significant growth in our core businesses for years to come. I'll hand it over to Josh as we wrap up.
Josh Scherba: Thank you, Nick. Fiscal 2025 was a pivotal year for WildBrain. We delivered strong results across our portfolio, highlighted by the breakout success of Strawberry Shortcake, meaningful growth in Peanuts and solid contributions from Teletubbies and our third-party brands. The success we've seen in global licensing reinforces the power of our 360-degree platform, particularly across our digital platforms, which reflect the investments we've made to revitalize our IP to drive long-term profitable growth. At the same time, we strengthened our cash conversion, improved working capital cycles, and we'll be moving forward with our strategic goal to simplify the company by exiting our Television business. These accomplishments underscore the strength of our model and the effectiveness of our strategy to focus on and deliver high growth across high-margin profit opportunities. Looking ahead to fiscal 2026, we expect this momentum to continue with strong underlying growth driven by licensing and by the scaling of our digital business across AVOD, FAST and Media Solutions. The exit from Television enables us to fully concentrate resources on the opportunities with the greatest returns, while our studio continues to fuel the pipeline with premium content for top global partners. We believe these steps, combined with the scalability of our digital platforms and the cultural resonance of our brands, position WildBrain for double-digit growth in both the coming fiscal year, but also for many years to come. With a more streamlined business, a clear strategy and the right resources, we are excited about the opportunities ahead to deliver sustainable growth and long-term value for shareholders. With that, I'll open it up to questions.
Operator: [Operator Instructions]. The first question comes from Dan Kurnos with The Benchmark Company.
Daniel Kurnos: A lot to unpack, Josh and Nick. Maybe just from a high level, you guys gave a lot of color on sort of the growth trajectories of the segments and some incremental upfront investment. For either of you, can you just put a finer point on where you guys are looking to deploy money and what kind of ROI you are anticipating once you put that money to use. So if it's headcount ramp, if it's incremental capabilities, platform expansion, just anything there would be helpful and how you -- how quickly you expect it to contribute to growth in fiscal '26 and beyond.
Josh Scherba: Dan, thanks for the question. So maybe I'll kick it off, and then I'll hand it over to Nick for a little bit more detail. But certainly, directionally, the growth that we're seeing in our core brands, particularly Strawberry and Teletubbies, we see an opportunity to put more dollars into digital marketing, into digital content that allows us to direct with our highly successful social channels to continue to fuel that growth and that engagement that we're seeing is translating through to success at retail. So I would say that, that's one area in particular. Our Media Solutions team has also been an area of investment for us. We're very much encouraged by our growing engagement numbers on YouTube, AVOD and FAST. But as we've talked about on previous calls, our monetization has lagged, particularly on AVOD and FAST. We see that as a tremendous opportunity for Media Solutions, but it's required investment to get the right people around the table with the right skill set to allow us to really build out that business. And we're now seeing it. Our pipeline is growing nicely. So we're really encouraged by it, but it has required some additional investment.
Nick Gawne: Yes. Just to put some additional color. So underlying SG&A growth in '25 was broadly neutral as we look to make savings in our -- across certain businesses to fund some of our growth businesses, Media Solutions and CPLG and WildBrain brands in particular. And we see that continuing a little bit next year. We don't think about percentage ROIs. We think about the size of the prize. And the work we've done on the TAMs, the total addressable markets, for our brands this year and the experience that the management has of brands that have driven really significant revenue opportunity, plus the experience that our Media Solutions team have in building really big businesses give us confidence that the kind of 10% SG&A growth that we're seeing next year, which is primarily in the licensing and SG&A -- licensing and Media Solutions business is going to return multiple times in terms of revenue growth and EBITDA going forward.
Daniel Kurnos: Got it. That's helpful. And I know this next question is really for comp -- more for the content guys, but every media and I guess we can consider you guys having some tech platforms. Are there any savings you guys can generate from AI adoption and/or development across the platform or any incremental revenue opportunities you can foresee by implementing it throughout the company?
Josh Scherba: Yes. Look, I think there's lots of opportunity for automation and AI implementation across various aspects of the company. I mean, as it relates directly to content, the low-hanging fruit we see there is in social content. So our ability to turn short-form videos around at a quick pace that can then feed our YouTube and AVOD channels as well as socials like TikTok. We've been actively kind of working on ways to do this over the past several months, and we expect to be able to be in a position to start to roll some of that content out in fiscal '26. As it relates to our more traditional studio, we are an artist-led studio, and they will continue to be so. But we do look for areas that could aid artists in allowing them to perform more kind of high-value work. And so those are tools that we continue to look at. And in the future, we do think there will be opportunities to adopt.
Nick Gawne: Okay. Just let me add one thing to what Dan said. So we -- you asked about SG&A investment in the growth areas of the business in '26. We see increased automation, whether that be AI-powered or not as being a kind of a real tool that we can use to cap any SG&A growth going forward and even reduce SG&A going into the future. So we're a little bit early for it to really drive to kind of cap off the impact of '26. But when we think about '27 and beyond, then every conversation we're in at the moment and when we think about structure includes conversations about automation and efficiencies, which ultimately are going to lead to cost reduction.
Daniel Kurnos: Got it. Super helpful. Any chance, Nick, I'll take a shot at it, that you want to put a slightly finer point on the segment contributors to your growth outlook. You gave us directional, I guess, for both the two primary segments, but any kind of brackets you want to give just on how we should be thinking about growth contribution from the segments?
Nick Gawne: Look, we're seeing continued growth in our Licensing business and we're seeing growth all around. Growth in our Licensing business, as I said, a little bit of a headwind from the SG&A investments we've got. We're trading off some very high-margin revenue, some passive licensing revenue that we had from kind of content deals that we did in the late teens when the market was very different. Absent of that, license is growing really well. On the Content side, we always have this -- the margin profile of that business is very different year-to-year. So we're very excited about our live action portfolio in the next 12 months, which is a somewhat lower margin than our studio. Both sides of those ledgers are growing. And then within Distribution, we've got a few big deals, but just those deals are on shows that are perhaps lower margin. So I think there's growth across the business, but the margin profile is not consistent due to just the type of mix.
Daniel Kurnos: Got it. And last one, Josh, I'm sure you would be upset if I didn't ask about the broader industry. Obviously, there have been rumors that PSKY is going to buy Warner. It feels like maybe somebody with some deep pockets is going to come back in and start investing. I know all the big companies have been throwing money at sports, but building out all these portfolios right now seems to be maybe a reawakening. I know you guys talked about a soft distribution landscape, but I think we're all kind of hopeful that the spigot gets turned back on a little bit. Any conversation with partners around redeploying capital, getting -- rebuilding some of these franchises. And I do think kids will be a huge focus as we start seeing some consolidation and bundling and trying to get some differentiated content going forward in the streaming universe.
Josh Scherba: Yes. Look, there's no question it's been a historically difficult content market for kids. And we've really pivoted over the past few years to focus on our core IP, licensing revenue and digital distribution as well as kind of refocusing our studio to have capabilities that better set the opportunities that Apple and Netflix were pursuing. So I'm really proud of how we've pivoted through what has been a challenging time in the traditional kids market. But looking forward, yes, I'm optimistic that these deals, Paramount and the Skydance ownership, that deal closing and then whatever happens with Warner Bros. Discovery, ultimately giving more certainty to the market. And as you say, investors with deep pockets who are going to want to win. And there has been an underinvestment, we believe, in kids and family content from these platforms over the past several years, and that's going to correct at some point. So in the meantime, we built this really strong growing, sustainable business. And if the content market heats up again, that's all on top of what we're forecasting at this point.
Daniel Kurnos: Nothing like having the second richest man in the world come to a new playground, Josh.
Operator: [Operator Instructions]. This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a good day.